Operator: Ladies and gentlemen, thank you for standing by. Good afternoon, and welcome to the AMMO Inc. Fiscal First Quarter 2023 Earnings Call. At this time all, participants are in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Participants of this call are advised that the audio of this conference call is being broadcast live over the Internet and is also being recorded for playback purposes. I would now like to turn the call over to Matt Blazei of CORE IR the company’s Investor Relations firm. Please go ahead, sir.
Matt Blazei: Good morning, and thank you for participating in today’s conference call. Joining me from AMMO’s leadership team are Fred Wagenhals, Chairman and Chief Executive Officer; Rob Wiley, Chief Financial Officer; and Rob Goodmanson, President. During this call, management will be making forward-looking statements, including statements that address AMMO’s expectations for future performance or operational results. Forward-looking statements involved risks and other factors that may cause actual results to differ materially from those statements. For more information about these risks, please refer to the Risk Factors described in AMMO’s most recently filed periodic reports on Form 10-K and Form 10-Q, the Form 8-K filed with the sec today and the company’s press releases that accompanies this call, particularly the cautionary statements in it. Today’s conference call includes non-GAAP financial measures that AMMO believes can be useful in evaluating its performance. You should not consider this additional information in isolation or as a substitute for results prepared in accordance with GAAP. For a reconciliation of this non-GAAP financial measure to net loss, its most directly comparable GAAP financial measure. Please see the reconciliation table located in the company’s earnings press release. The content of this call contains time sensitive information that is accurate only as of today, August 15, 2022. Except as required by law AMMO disclaims any obligation to publicly update or revise any information to reflect events or circumstances that occur after this call. With that, it is now my pleasure to turn the call over to AMMO’s CEO, Fred Wagenhals.
Fred Wagenhals: Thank you, Matt, and good afternoon to everyone on this call. Since our IPO in 2017, our primary goal has been to create shareholder value and enhance the overall experience for the outdoor sporting and shooting enthusiasts through innovation, best-in-class products and superior execution. This strategy focus has driven AMMO from $2 million in revenue in 2018 to at an estimated $300 million in revenue for fiscal 2023. The acquisition and integration of GunBroker.com marketplace platform in fiscal 2022 is a excellent example of how our management team and Board of Directors has identified and executed unique opportunities to expand the AMMO brand and create new platforms for growth. Along with the recent completion of our new state-of-the-art manufacturing facility in Manitowoc, Wisconsin, we believe that both the ammunition and the marketplace divisions are key to our continued growth. Accordingly the Board and management team has determined that the best option for unlocking the most shareholder value is by splitting the divisions into two separately traded public companies. Our online and marketplace business will soon be called Outdoor Online, Incorporated and will comprise – be comprised of GunBroker.com and related online businesses. The second entity action Outdoor Sports, Incorporated will support our current ammunition business, including STREAK, Blackline, Stelth, Blue Line, AMMO bras and hunt ammunition. We believe this separation will allow investors to better evaluate the business model of each division and create greater shareholder value. As we continue to pursue unique and distinct growth opportunities. The creation of action Outdoor Sports is well timed as we officially opened our 185,000 square foot manufacturing facility last month. This state-of-the-art facility will increase our production capacity to approximately 1 billion loaded rounds of ammunition and support the manufacturing and sales of the company’s patented strength, visual, ammunition, subsonic, munition, and specialty rounds for the military and law enforcement. I will remain Chairman of the Board and will be named – be naming a new CEO soon who will lead action Outdoor Sports as it leverages its increased capacity and continue to be an active acquirer in the outdoor recreational marketplace. After the spinoff, I will continue as Chairman and CEO of Outdoor Online and retain and operate the GunBroker.com marketplace and related high margins and asset-light operations within AMMO. This will give investors opportunity to participate directly in the growth of the leading online outdoor and shooting sport auction marketplace. I mentioned on our last call, we believe there are significant opportunities to grow this platform, when we begin the rollout of several initiatives to capture the significantly great percentages of the transactional volume from that platform, including credit cards processing credit products, gift cards, and loyalty programs for both buyers and sellers. We are confident the decision to separate AMMO into two independent public companies will further unlock the shareholder value we have worked hard to create. With both businesses now having management teams and resources focused exclusively on the future growth opportunities, I am confident both companies will continue to grow revenues, enhance margins and drive even greater shareholder value. I will continue to update shareholders on the progress of these initiatives and anticipate this transaction will be completed in the 2023 calendar year. I would now like to turn the call over to President, Rob Goodmanson to provide more detail about the transaction and our operational performances this quarter.
Rob Goodmanson: Thanks, Fred, and welcome everyone to our quarterly earnings call. The question that I’m asked on a regular basis is what is the state of our industry? This industry has significant legs and listening to Vista, Olin and Clarus’ earnings calls, they’re all saying exactly what we are seeing. The growth of this industry is still vibrant and shows no sign of slowing down. This trend can be seen not only through AMMO’s growth, but also the growth in our marketplace. We’ve grown traffic approximately 40% annually since 2019. And we fully expect these tailwinds to last a minimum of 24 months, which started out as COVID has morphed into civil unrest, not just in the U.S., but globally. As you can see, we had a temporary decrease in our margins for the quarter. Sales continued to be strong and our production is just beginning to ramp up. We had identified the compression and have addressed the issues. Most have been answered. The rest are being addressed through changes in their operations. The run up on commodity prices, they were trading at their highs during the quarter. Thus, our cost of goods increased. The good news is that we’ve worked through much of that inventory and our replacing it with the same commodities that significantly lower prices. Shipping costs have also increased dramatically, which has been an issue for every company. The new facility has 12 loading docks, shipping alone took 2 points off our margins. We were hiring significantly during the quarter and determined it best to hire and train new employees prior to the opening of the building. We lost 1 point in the hiring and 1 point in the training, which takes three months to six months depending on the position, but we would make that same decision all over a game. Some of our production came offline during the first quarter in preparing some of the equipment for the move. All the equipment will be installed in the new state-of-the-art facility at the end of August and our production capabilities will have a significant uptick. We fully believe that the economies of scale, the synergies of having the components and equipment in one spot, as well as pack code and shipping engineering all together will significantly drive our margins. Currently, we drive back and forth between three different facilities. This new facility also offers us the ability to put ourselves in the best position to support our military program partners will enhancing the support of our growing international customer base, both commercially and governmental. These were not our only short-term expenses. Our marketplace also has been extremely busy. We hired five people in house for our marketing team, more customer service reps, three additional engineers and two software engineers. We continue to build out the back end of our technology to get where we need to be. This is an absolute necessity. Things are progressing nicely. The financial service, credit cards, ACH, loyalty programs and gift cards will be coming online in October and carting capabilities will be right behind. I’d like to add that our objective with gun broker was never to move away from our hugely successful auction business. But to expand our offerings to manufacturers, dealers, FFLs and distributors to become a complete marketplace. We’re achieving more than a $0.5 million sessions on gun broker per day, 7.4 million registered users and still adding 55,000 new users a month. We see this as a huge home run with enormous potential shortly. Shortly, you’ll see a refreshed website that is significantly easy here to navigate and more accommodating for both the buyers and the sellers. As Fred had mentioned, we announced our plan to separate two companies and the Board of Directors voted unanimously to split the ammunition and marketplace businesses into two independent publicly traded companies, which will trade on the NASDAQ market. AMMO’s management team and Board of Directors completed a detailed analysis and assessment of our operations, business units and growth opportunities and determined that this would achieve the goal of unlocking and enhancing shareholder value. We are changing our names and we have been advised to soften our brands. Similar to Vista, which is federal arms, Olin, which is Winchester, Clarus, which is Sierra, Barnes. AMMO shareholders will retain ownership in action outdoor sports while obtaining ownership in online outdoor at no additional cost. And we anticipate that this transaction will be in the form of a dividend distribution to its shareholders of a 100% of the stock in action outdoor sports, which will become a new independently publicly traded company. This distribution is intended to be tax free, both companies and shareholders through U.S. Federal income tax purposes. Concurrently, AMMO will change its name to Outdoor Online and will operate under a new ticker symbol. Action Outdoor will also attain symbol on NASDAQ, once we are through the approval process. This transaction will allow us to prioritize and refine capital allocation. With separate business models, short and long-term goals, each company will be in better position to refine and focus capital allocation strategies moving forward and to expand strategic opportunities. Both companies will be better positioned to focus on continuing the work designed to leverage its leading marketplace. While Action Outdoors can continue its well established track record of M&A and securing the best-in-class partnerships with other manufacturers and reinforce and amplify the ability to attract and retain top market talent. This has been an exciting time and we look forward to completing the spinoff and finally moving into our new facility. With that, let me turn this over to Rob Wiley, our CFO. Rob?
Rob Wiley: Thank you, Rob. Welcome everyone. Let me now review our first quarter financials and more detail. Total net revenues for our quarter end of June 30 increased 36.6% or approximately $16.3 million over the comparable prior year period. This increase was a result of approximately $11.2 million of increased sales in bulk pistol and rifle ammunition, an increase of approximately $1.8 million of sales, a Proprietary Ammunition, a decrease of approximately $0.6 million of sales from our casing operations, and an increase of approximately $4.2 million of revenue generated from our marketplace GunBroker.com, which includes auction revenue, payment processing revenue and shipping income. We expect the sales growth rate of Proprietary Ammunition to continue to outpace the sales of our Standard Ammunition. We are focused on continuing to grow top line revenue as we continue to further and expand distribution in the commercial markets, introduce new product lines and continue to initiate sales to U.S. law enforcement, military and international markets. Our gross margin percentage decreased temporarily to 29.8% in the current quarter. This was primarily attributable to near-term cost of material increases as well as additional labor and overhead costs in preparation for our new manufacturing facility, which are temporary until we are fully operational and we expect to be fully operational by the end of our second fiscal quarter. We believe as we add efficiencies through our new production facilities scheduled to come online this fiscal year and continue to grow sales through new markets and expand our distribution that our gross margins will also increase in the second half of this fiscal year. Our goal in the next 12 to 24 months is to continue to improve our gross margins. This will be accomplished through the following. Increased product sales, specifically a proprietary lines of ammunition like the STREAK VISUAL AMMUNITION, Stelth and the ammunition we have developed in support of our military and government programs. Introduction of new lines of ammunition that historically carry higher margins and consumer and government sectors. Reduce component costs through operation of our ammunition segment and expansion of strategic relationships with component providers. Expanded use of automation equipment that reduces the total labor required to assemble finished products. And better leverage of our fixed costs through expanded productions to support the sales objectives. Overall, for the quarter, our operating expenses increased by approximately $3.8 million over the prior year period or 140 basis points as a percentage of sales. This is mainly a result of a full quarter of GunBroker.com operations in comparison to a partial quarter in a prior year period due the timing of the GunBroker acquisition. We expect to see administrative expenditures decrease as a percentage of sales and the 2023 fiscal year as we leverage our workforce and expand our sales opportunities. Operating expenses include non-cash depreciation and amortization of approximately $3.4 million for the period and also consisted of commissions related to our sales increases, and stock compensation expense associated with the issuance of common stock and lieu of cash compensation for employees and board members during the period. Operating expenses included non-cash expenses of approximately $4.6 million. Operating income was $5.1 million for the quarter compared to operating income of $9.7 million in the year earlier. As a percentage in net revenues, operating income was 8.4%. We ended the quarter with net income of approximately $3.2 million compared with a net income of approximately $9.5 million in the prior year period to decrease was mostly attributable to our decrease in margin and the addition of a tax provision in the current period in comparison to the prior year period in which we had a full valuation allowance. As we increase our margin according to coming quarters, we expect our net income to increase in comparison to the prior year. Our goal is to continue improve our operating results as we focus on increasing sales and controlling our operating expenses. Adjusted EBITDA was $14.3 million compared to adjusted EBITDA of $16.3 million in the year earlier period. The decline in adjusted EBITDA was mostly attributable to the temporary decrease in the gross margin of our ammunition segment as discussed earlier. Please note that adjusted EBITDA is a non-GAAP measure and you should refer to the reconciliation of our GAAP to non-GAAP results in today’s press release for additional details. Adjusted net income for diluted share was $0.09 versus an adjusted net income per share of $0.13 in the prior year period. Our net cash provided by operations totaled $4.6 million. This is primarily the result of net income of approximately $3.2 million, which was offset by increases in our inventories of approximately $5.6 million, decreases in our accounts receivable of approximately $4.2 million and decreases in our accounts payable of approximately $3.0 million. Non-cash expenses for depreciation and amortization totaled $4.3 million and non-cash expenses for employee stock awards total of $1.2 million. The critical takeaway for the market from today’s earning report is that we are reiterating our guidance for our 2023 fiscal year to revenues in the range of $300 million to $310 million EBITDA in the range of $82 million to $85 million and adjusted EBITDA in the range of $108 million to $111 million. And more specifically, given our recent announcement of the transformational spinoff transaction, guidance for our ammunition segment revenues in the range of $230 million to $240 million, EBITDA in the range of $35 million to $38 million and adjusted EBITDA in the range of $57 million to $60 million and our marketplace segment revenues of $70 million, EBITDA of $47 million and adjusted EBITDA of 51 million. And with that, I will turn it back to Fred.
Fred Wagenhals: Thank you, Rob. I will now turn the call over to the operator for questions. Thank you.
Operator: [Operator Instructions] Our first question is from Michael Dwyer with Raymond James. Please go ahead.
Michael Dwyer: Hi, everyone. Congratulations on your spinoff. Just a few questions come to mind here. For the average AMMO, Inc. shareholder, why is the spinoff a good first stockholders?
Rob Wiley: Thank you for your question, Mike. This is Rob Wiley. And we think the spinoff is good for the shareholders, because ultimately you’re only – you will end up with shares and two separately traded pop-up companies, one being our manufacturing company, which will be Action Outdoor Sports, and the other being GunBroker.com or will be known in the future as Outdoor Online. We think that this will put our shareholders in the best position to increase their long-term value with their companies. And really the past 16 months of data indicated to our management team over here, the Board of Directors and our advisors that the market is not really valuing the two companies combined appropriately. So that is some of the reasoning why we decided to move forward with the spinoff of the two companies.
Michael Dwyer: What are your advisors, your investment bankers telling you about the time you have the spinoff in terms of this year, next year, when do you think it will occur?
Rob Wiley: Thanks, Mike. So in the release this morning, we mentioned that we expect the spinoff to be complete in calendar of 2023. We’re hearing from advisors that this process can take subject regulatory approvals, excuse me, anywhere from 90 to 120 days to complete.
Michael Dwyer: So this is a really big deal for you guys. A very large tax free dividend to existing shareholders. Why should shareholders feel comfortable that you can handle this type of a transaction?
Fred Wagenhals: Mike, this is Fred Wagenhals. Going back 20 years ago, you followed me when I had action performance. I started with a card table in three employees for the company to $200 million or $407 million a year in sales. And it was about people. I hired the right people for the right job to do the build the company. That’s what I’ve done here. If you look at five short years from $2 million to $240 million, we made three key acquisitions, SWK, Jagemann and GunBroker completed offerings without an issue uplisted to NASDAQ added to the Russell 2000 designed and operated opened 185,000 square foot world class facility in record time and budget. And that was all because of people. And do we – am I looking for a few other key people? I – for the last, probably eight months, I’ve looked for the CEO that would handle the new Action Outdoor company. I’ve found that person and I – he will be under contract by the time, we up – spend the companies off. And I’m sure he’s probably looking at maybe one or two people to bring in to add to the staff, but it’s all about people and we’ve done it with people and probably more proud of anything is we have no debt and over $221 million in cash in the bank today. So that’s one hell of an accomplishment, in my opinion.
Michael Dwyer: This is exciting. Fred. Congratulations.
Fred Wagenhals: Thanks.
Operator: The next question is from Matt Koranda with ROTH Capital. Please go ahead.
Matt Koranda: Hey guys. I’ve got a few here. So just bear with me. On the spin, I think the key question is, why now – why not wait until Manitowoc has been ramped. Maybe just a little bit of detail on sort of why now is the right timing.
Fred Wagenhals: Thanks for your question, Matt. There is – the now instead of waiting for the ramp is as we ramp up the production will increase dramatically. We have an opportunity, I think, to spin it currently at a level where the shareholders are going to view and receive significant value just in that ramp by itself. We have a lot of different opportunities that we see and we need to take advantage of them. So as we split up these two companies and we can start to focus on the short and long-term goals of each of the two different companies, it works significantly better. So there’s no time like the present to get this spun and we need to unlock the shareholder value, create more free cash flow. And this is we need to do it. We feel, we need to start doing this now for the shareholders who stayed with us and we’ve done everything we can to unlock this.
Matt Koranda: Okay. Got it. And then on the ammunition business and the revenue run rate there, I’m just curious what’s holding back production, because it – revenue’s declined pretty drastically from the fourth quarter down $8 million. I’m just curious did we see a degradation in pricing at all or is that all just volume that came out of the facility. Maybe just help us understand sort of how much production came offline in the first quarter. And then are we back online right now as well? Maybe just help us with that first and then I have a margin question as well.
Fred Wagenhals: Sure. Let’s just go to that first part of your question. The production – we produced what we could produce. We did have some equipment that needs a little more care and needs to be taken down prior to, so we had to shut down some of our equipment. Again, and you know, from our past conversation in the existing facility with only one door for shipping and receiving, shipping got to be a huge issue and moving to get into your point number two, what we are seeing is we should be totally up and running by the end of the month, which means we think we’ve done a couple of different things, A, we’re here, we’re kind of morphing away a little bit. We’ve seen a little softening in prices. The 9 mm or 223, which is the bread and butter rounds. And at doing it at this time, it allows us the ability to move into the higher margin things with some equipment. The hunting line, some of the large rifle, medium rifle, which will also bring back those margins significantly and the demand is still outweighing the supply currently and the specialty unique rounds, whether it be pistol and or rifle hunting.
Matt Koranda: Okay. That makes sense. Just to follow-up on that. Roughly, how should we be thinking about blended pricing at the wholesale level? It seems like it maybe took a little bit of a step down, which is understandable just given sort of where retail stocking levels are? But how should we think about price? And then in terms of volume, you say back to full production by the end of this month, what capacity should we be penciling in? Because I know you’re on a ramp here and you’re headed to about 1 billion rounds, but what sort of the annualized capacity that we should be thinking about when we think about full production?
Fred Wagenhals: Well, I would say for the full production, we won’t start off at 1 billion rounds as things come on and we continue to bring in more machines with the space and some of the machines have not been that we own, that have been put in are still being hooked up. But I think you would see a sizable increase in daily production, right now, immediately when the machines are turned on, ease of ease of shipping, packing out, we’ve added significant automation for the packouts, all these things are really pluses. To give you a number, let’s say, if you were running at 400, I would say, initially we probably start at 550 million rounds and have that just continue to increase. Again, maybe heavily – a little more heavily weighted into the specialty rounds and obviously our streak, which we have the green streak now, which has been in high demand.
Matt Koranda: Okay. And then when Manitowoc is fully ramped, what – I assume we should be like, sort of ramping into the billion. So 550 is helpful, Rob. The billion kind of comes toward the latter half of fiscal 2023 or does it not come until 2024?
Rob Wiley: I would say the latter half of 2023.
Matt Koranda: Okay. Helpful. And then just – I’ll do one more and then I’ll jump back in queue and let others have the mic here. But just on the gross margins in the core AMMO business. I’m backing into something in sort of the 10% range or so. But maybe just bridge us back to normalized levels. Do we normalize in the back half of the year, back into the mid-20% range? And then just get us there with – maybe the 1,500 basis point improvement, how much comes from sort of just better utilization of the labor that you guys have hired kind of pre-hired ahead of the ramp, how much comes from improved shipping costs, you listed commodities, I think, and a couple other things in the prepared remark. So maybe just if you could bucket it out for us that’d be very helpful.
Rob Wiley: Yes. Thanks, Matt. As you mentioned, we did have a decrease in our ammunition segment for the quarter related to our margin. That was mainly due to the increased labor, overhead expenses, materials costs, as we transition into the new facilities – materials costs separately, but we believe we’ve worked our way through that problem. As we are fully operational in our new facility, which we expect to be by the end of this second quarter here, we expect our margins to return to the normalcy that you had mentioned the mid-20%. And that we feel pretty confident in that and that’s why we reiterated our guidance earlier on the call. I think the improvements that you had mentioned coming from efficiencies, utilization, commodities, that’s all of the above, that’s really going to contribute to the margin increase. So just to reiterate decrease in margin and we feel is temporary and we will be confident in our guidance moving forward.
Matt Koranda: All right, I’ll leave it there guys. Appreciate it.
Rob Wiley: Thank you.
Operator: The next question is from Mark Smith with Lake Street. Please go ahead.
Mark Smith: Hi guys. First, can you just talk broadly about the consumer environment buying trends, especially as it applies to GunBroker. Did you see any pullback in spending here in the June quarter?
Fred Wagenhals: No, we haven’t actually our average ticket size increased from the previous quarter and the previous year. So we’re not seeing that at all.
Mark Smith: Okay. Is the – as we look at kind of sequential sales here, down year-over-year is some of that just seasonality that we just haven’t had a year yet to see kind of the seasonality and GunBroker being a little lower in these summer months.
Fred Wagenhals: Well, there is some seasonality and you hit that, I think totally correct. That does – it is a more quiet time and it usually picks up starting in September moving into the hunting season as will the ammunition side as well.
Mark Smith: Okay. And then as we think about the move to the new plant, can you guys talk about capacity additions as we think about brass, we’ve heard from peers and others in the industry, brass being kind of a hard piece to find right now, which puts you in a good place. Is there plans to ramp the production of brass casings significantly or any insight you can give us would be great?
Fred Wagenhals: Well, I don’t think it would be a secret if I said our plan for our brass was to use it all rather than get it out to other people and competitors. We will always do that. We do have agreements with some other manufacturers, so that will always stay constant. And so I think the increase in brass production is going to be utilized internally more than just build it and sell it.
Mark Smith: And then as we think about kind of one time impact in the June quarter, and I’m thinking primarily about revenue here. I don’t know if you can quantify at all, any – as you began some switch over that that maybe hurt ammunition revenue late in Q1 and then kind of what type of impact we would look at in July and kind of this full transition and the negative impact potentially to revenues in September quarter.
Rob Wiley: Yes. And thanks, Mark. And you’re exactly right. We were preparing our facilities to begin the move in July, as we have mentioned earlier, and that did impact the revenue that we were able to ship out in this June quarter ended here. As we are in the process of moving into the new facility, we’ll likely see revenues around this level in the September quarter. But that shouldn’t impact our – the overall year in terms of our revenue guidance and what we’re expecting out of the new facility with the increases in capacity coming online. And also as Robert mentioned, it will be what much more nimble with operating out of 12 shipping docks opposed to one that we’ve been out of. So it’ll be a nice change and we’re really excited to be in the new facility here.
Mark Smith: Okay. So good things coming on the AMMO side, but there might still be some noise in this quarter that we’re currently in just from the switch over.
Rob Wiley: Yes, I think that’s fair to say.
Mark Smith: Okay, perfect. Thank you guys.
Rob Wiley: Thank you, Mark.
Operator: The next question is from Edward Riley with EF Hutton. Please go ahead.
Edward Riley: Hey, guys. Thanks for taking that question. For Outdoor Online, you mentioned it’s going to be comprised of GunBroker.com and related online businesses. Was wondering if the Spinco is going to be pursuing an acquisition strategy. And if so, what type of outdoor recreational brands are you targeting?
Fred Wagenhals: Thanks for the question, Eddie. Yes. As you may have picked up from our history, M&A work is not out of the question for us. We do view Outdoor Online as a vehicle to really become, which it already is the destination for Outdoor Sporting goods, but now that’s with the ability to cart coming online and with the financial service products, adding additional products, I think you’re going to see some incredible margins even increase being able to buy from multiple sellers at one time, as far as individuals the brands, nothing, it could be, there’s nothing right on the surface that I would say, I want to buy this brand. I think it’d be a little broader, wouldn’t be like a acquirers where they’re going to pick up and buy the brands. We want it to be a marketplace, so we could facilitate the actual sellers more on the marketplace. Thus, all the changes that we’re making to the back end and the front end for customer service. And we really do not really want to get into holding inventory and having bricks and mortars. We would rather be the marketplace for any number of different manufacturers.
Rob Goodmanson: There also could be…
Edward Riley: Okay – go ahead.
Rob Goodmanson: There also could be some opportunities for action Outdoor Sports, our manufacturing facility, we built the state-of-the-art facility. It’s well equipped. We’re always looking for something that might fit into that company also.
Edward Riley: Okay. Will it be focused on firearms, recreational outdoor activity or are you guys branching into maybe something else potentially?
Fred Wagenhals: Could be something else, it could be something that just fits our facility. We built as they say, a great manufacturing facility and we got great people up there running it. We got a good engineering department. So we always like to look for something that is unique, is something that we’re exclusively building for someone and either has a patent to it or has some design features that nobody else has, so.
Edward Riley: Okay, great. And then just housekeeping on the revenue guidance, is this growth revenue or net revenue after excise tax?
Rob Wiley: This would be the revenue that would be reported on our statement of operations and our filings net revenue. Thanks.
Edward Riley: Okay, great. Thank you. That’s it for me.
Operator: The next question is from JD Abouchar with Glass Creek Partners. Please go ahead.
JD Abouchar: Congratulations guys on both the successful opening of Manitowoc and also the exciting news about the spinout. Just to follow-up on some of the capacity constraint issues that are have now going away, how difficult is it to shift the production equipment from doing the more bulk 2 to 3 rounds to say something more higher margin like a 308 or 300 Win mag that obviously has higher ASP and much higher margins and the ability to sort of within a shift, move around to sort of take advantage of those better margins.
Fred Wagenhals: Well, I think you just read a piece of our playbook. We’re small enough to accomplish that. And the timing happens to be perfect is we’re bringing all the machines in being able to retool and make an adjustment on which markets we want to really focus on, maybe narrowing our skews. So we have consistent every month, what we can have and what we can ship to whether it be a big box store or distributor, versus I – we really don’t want to get into a commodity type thing where it seems to be a race to zero. So we’ll continue to streak 9 mm and we can streak just about any other caliber, but I think we can really benefit from a margin standpoint on making some of those specialty rounds especially in the large rifle and midsize rifle.
JD Abouchar: Excellent. That’s – and I understand a lot of the – you’ve already touched on margin enhancement just from debottlenecking and the shipping and have an elbow room, but wonder you haven’t talked about that. I know has been on your radar screen is on the projectile side, which is the one item that you do have to buy out. Can you give us an update there on doing internal projectiles and are there any patents or barriers that would keep you out of some of the more in demand variants?
Fred Wagenhals: Well, no, on the projectiles, where – there’s also different ways, there are different companies that we could also take a look at and different availabilities. We would potentially have the capabilities to start being making our own, but is that the best way to get to that end? Or do we look for our potential acquisition candidate or joint venture or whatever? That’s a question that’s a little bit up in the area.
JD Abouchar: Got it, got it. And just final question is you in the past talked about military and government sales being a meaningful percentage of revenues as sort of a target. Is that still on track and any updates there?
Fred Wagenhals: Yes, this is Fred Wagenhals and I’d really like to turn this over to John Flynn who’s worked on this project for probably the last three years and he’s every time guy go by his office, he’s got a sign on the door. I’m talking to the military. John tell you.
John Flynn: It’s not, because I don’t want to talk to Fred. I promise. Hi, thanks for your question. We have – there’s two different parts to your question. So one, we have contracts in place relating to two products that were specifically requested. We designed ground up for U.S. special forces, component groups, one being the ballistic match, BMMPR, the second being the signature on target round. Think about the latter as an alternative to trace your ammunition, which is incredibly exciting for this company. We have other programs going on some of which you won’t hear about some of which you likely will hear about shortly. Our focus on our path in obtaining this type of business was to focus on what really playing off what Fred said, unique capabilities, distinct manufacturing skillsets that we have to design products for really the U.S. special forces, which who have specific needs and have a much, much faster procurement cycle than your standard, big army U.S. military procurement cycle. So even though, it doesn’t always look like it to Fred, certainly who comes down and talks to me or to the public, it is actually moving at light speed in that arena. It is on track. We are hitting all the milestones, all the performance requirements, and we are moving now into the latter phases of those two programs. Some of those other confidential programs are in different phases to where we will, we reasonably anticipate and are told to expect revenue to start flowing in a more meaningful way, but it does take anybody that understands that work in that industry. It takes some time, but we’re really moving very quickly and effectively to date on those programs with some more exciting things. That’ll be publicly announced hopefully pretty soon.
JD Abouchar: Awesome. Thanks for the update, John. Just final question going to the marketplace side, it – as you envision Outdoor Online in the future, is it a souped-up marketplace similar to an eBay, but for outdoors, are you more envisioning something along an Amazon, Shopify where there is more the reseller is more a more prominent than an individual auction type format.
Fred Wagenhals: Both were eBay and Amazon.
JD Abouchar: That’s the answer I wanted. Thanks, Fred.
Operator: The next question is from Brandon Beylo with Foundation Capital Management. Please go ahead.
Brandon Beylo: Hey guys, thanks so much for taking my call. I have quite a bit of questions here. I didn’t think, I’d get the chance to ask them today. So hopefully, you guys can – hopefully I can get through these. So first one, the thought process behind the spinoff didn’t really sound too convincing. And the reason why is, if we look back last year, I think it was like May of 2021, when you guys announced the GunBroker acquisition, the reasons for it were basically along the lines of, hey, this is going to help us vertically integrate, and this is going to help increase shareholder value. And this is what we think is best for shareholder value. And then a year later, with all the costs that go into integrating this business and trying to ramp it up and then all the costs that are going to happen to spin it out. You’re now saying that, actually having this as a separate company is now what’s best for shareholders. And so like I know you said you kind of had discussions with a team and the Board, but walk me through exactly why it – like, why that sentiment changed from AMMO being better with GunBroker inside of it versus now the shareholder value is better with GunBroker outside of AMMO.
Fred Wagenhals: Well, one of the ways I think you can really look at it. And I know we mentioned for the last 16 months, which we’ve had GunBroker. We haven’t really realized the valuation that is right there in front of us, good case in point. If you look at the consensus on the Street, you’ve got the ammunition business trading at 8 times EBITDA and you’ve got the marketplace at 15 times EBITDA. You collectively put those things together and it’s $1 billion market cap. And we are –I think what you’re seeing is I think we can start gaining on that value and where we should start trading when there’s two separate entities, this could be the parts are greater than the whole. And that’s – this is the plan. I think this way we perhaps get more coverage. We won’t get manufacturing analysts following the GunBroker side, we don’t get the other analysts following the other side. I just think that this is a way to do their complimentary businesses that are both undervalued at this point.
Brandon Beylo: Yes. I mean, it just sounds like at that point, you’re kind of playing to what you think shareholders will like instead of what is probably best for the business, but maybe I’m wrong on that. But in light of kind of this sum is or the parts are greater than the sum. If I look at the last three months ended just kind of for this quarter, June 30, you got $44 million in revenue from the AMMO business. And again, like there’s a lot of insulated costs and maybe those are transitory. But you get roughly $95,000 in income from operations on the AMMO business. Marketplace business completely different story, $8.5 million and EBIT on $16.5 million in revenue, really, really good high margins. What I’m wondering is when you split this business or when you split these businesses off, what value should shareholders put on this ammunition business, if it’s not generating any of the income from operations because the marketplace pretty much takes all of the income from operations. And so if you remove the marketplace EBIT, the ammunition business does basically none. And then you have this other expense corporate and other expenses about $3.6 million. And I wonder how much of that is marketplace versus ammunition. And it – if I word to bet, I would bet most of that corporate and other expense is probably geared towards the ammunition business. And so even if you add half of that corporate expense, say onto the ammunition side, you’re now losing money on an EBIT basis from an ammunition business. And so what makes you think that you can capture or command some sort of value where the – where each piece is more valuable than the whole? Because I agree that the marketplace business is valuable. I just don’t see how shareholders will want to stay with the ammunition business, given the choice between the two of them.
Fred Wagenhals: Well, I guess, I’m not quite understanding your question as much as giving you a platform to state what your thought process is. Use the shareholders at a 100% the spinoff, if those shareholders do not want to continue to own the ammunition business, they don’t have to, if they want the ammunition business, they can keep it and add to it. This also gives them the benefit to select. Now I know we’ve got other questions coming up, I believe so if there’s any other thing you want to talk about or can we move on to the next question?
Brandon Beylo: No, we can move on to the next question. It’s just only reason I ask is because you mentioned that if each – if you value each business that kind of 8 times you get a collection of $1 billion and I just don’t know how you get that value with the of AMMO business?
Fred Wagenhals: No, no. You only value them. And you only value the manufacturing business. That’s where the Street is at 8 times EBITDA. The marketplace is 15 times. So you can do the math. That’d be…
Brandon Beylo: Got it.
Fred Wagenhals: It’s $360 million for the manufacturing and $765 million on the GunBroker. I don’t know. My math still comes up to just over $1 billion and I think…
Q - Brandon Beylo: Got it.
Rob Wiley: I think another important thing to consider is we’re taking on extra costs as we prepare for this move into the new facility. We mentioned that we’re confident in our guidance and we have guided significant EBITDA amounts or ammunition business. So we think splitting the two companies apart will allow each company to be more aligned with their vision for the ammunition manufacturing company to work with other manufacturers and the GunBroker site to be more of a e-commerce play. So we do think that there’s value and that’s why we’re confident in the guidance that we provided. We know that there’s additional cost temporarily, but that’s not something that we see long-term and that we think that both companies will be very valuable to our shareholders.
Fred Wagenhals: Yes. Thank you for your question.
Brandon Beylo: Yes.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Fred Wagenhals for any closing remarks.
Fred Wagenhals: Well, thank you very much for participating with our company and we look forward to the future. And I think within the next four months to six months, you’ll see a lot of activity around here. Have a good evening.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.